Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to BBVA Argentina's First Quarter 2024 Results Conference Call. We would like to inform you that this event is being recorded, and all participants will in listen-only mode during the company presentation. After the company remarks are completed, there will be a question-and-answer section [Operator Instructions]. First of all, let me point out that some of the statements made during this conference call may be forward-looking statements within the meaning of the Safe Harbor provisions found in Section 27A of the Securities Act of 1933 under US Federal Securities Law. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information concerning these factors is contained in BBVA Argentina's Annual Report on Form 20F for the fiscal year 2023, filed with the US Securities and Exchange Commission. Today, with us we have Ms. [Ines Lanusse], IRO. Ms. [Lanusse], you may begin your conference.
Belén Fourcade: Good morning. And welcome to BBVA Argentina's first quarter 2024 results conference call. Today's webinar will be supported by a slide presentation available on our Investor Relations Web site on the Financial Information section. Speaking during today's call will be Ines Lanusse, our Investor Relations Officer; and Carmen Morillo Arroyo, our Chief Financial Officer, who will be available for the Q&A session. Please note that starting January 1, 2020, as per Central Bank regulation, we have begun reporting results applying hyperinflation accounting pursuant to IFRS rule IAS-29. For ease of comparability, 2023 and 2024 figures have been restated to reflect the accumulated effect of inflation adjustment for each period through March 31, 2024. Now let me turn the call over to Ines.
Ines Lanusse: Thank you, Belen. And thank you all for joining us today. 2024 starts with the new elected government substantially modifying the economic policy framework and focusing its efforts on a strong fiscal and monetary adjustment to reduce inflation. The reduction of fiscal deficit in the first months of the year, the relative currency stability observed after the significant depreciation of the Argentine peso in December 2023, the accumulation of international reserves and the contraction of economic activity have allowed a recent moderation of the monthly inflation, which, however, still remains high. In spite of the uncertainty and related risks according to BBVA Research, it is likely that these factors could set the basis for an inflation slowdown in the following months. These would eventually be completed by additional measures in the context of the release of a more integral stabilization program. BBVA Research estimates annual inflation will end close to a 155% and that GDP will drop around 4% this year. It is important to mention that interest rates have fallen quicker than expected, and it is expected that these should drop further as inflation continues to decline. Now moving into business dynamics. As you can see on Slide 3 of our webcast presentation, our service offering has evolved in such a way that by the end of March 2024, retail digital clients penetration reached 62%, while retail mobile clients reached 58%. The response on the side of customers has been satisfactory and we are convinced this is the path to pursue in the aim of sustaining and expanding our competitive position in the financial system. Retail digital sales measured in units reached 93.6% in the first quarter of 2024 and represent 73.6% of the Bank's total sales measured in monetary value. New customer acquisitions through digital panel reached 81% in the first quarter of 2024 from 76% in the first quarter of 2023. The Bank actively monitors its business, financial conditions and operating results in the aim of keeping a competitive position to face contractual challenges. Moving to Slide 4, I will now comment on the Bank's first quarter 2024 financial results. BBVA Argentina's inflation adjusted net income in the first quarter of 2024 was ARS34.2 billion, falling 41% than the net income in the fourth quarter of 2023. This implied a quarterly ROE of 6.6% and a quarterly ROA of 1.6%. Quarterly operating income in the first quarter of 2024 was ARS631.2 billion, 13% lower than in the fourth quarter of 2023. Quarterly operating results are mainly explained by a lower operating income, mainly due to lower income from foreign exchange and gold gains, particularly in contrast with the fourth quarter 2023’s extraordinary results, which were impacted by the devaluation of the Argentine pesos versus the US dollar. This was offset by; one, better results from income from measurement of financial instrument at fair value to P&L, also by contrast with the results in the fourth quarter 2023 where a loss was reported due to the dual bonds valuation; two, better net income from write down of asset at amortized costs and at fair value through OCI, mainly due to the sale of inflation linked bonds; and three, lower personal benefits and other operating expenses. Net income for the period was highly impacted by income from net monetary position in spite of inflation being slightly lower in the first quarter of 2024 than in the fourth quarter of 2023, the increase in the monetary position in the first quarter of 2024 versus fourth quarter of 2023, more than proportionally offset the mentioned decrease in inflation. That increment was impacted by a higher value of public securities in the fourth quarter of 2023, especially under the fair value through OCI valuation criteria. Turning into the P&L lines in Slide 5. Net interest income for the first quarter of 2024 was ARS787.8 billion, increasing 4.8% quarter-over-quarter. In the first quarter of 2024, interest income decreased less than interest expenses in monetary terms, the former due to lower income from public securities and the latter due to lower expenses on time deposits and investment accounts. In the first quarter of 2024, quarterly decrease in interest income is mainly driven by; one, lower income from government securities explained by the termination of the issuance of LELIQ by the Central Bank in December 2023, reducing its volume on year end; and two, lower income from loans, mainly discounted instruments, credit cards and other loans, the latter affected by the fall in floor planning. This was partially offset by; one, a better income from REPO at lower rate than they are accrued by LELIQ; and two, income from inflation linked bonds. On the other hand, interest expenses decreased 16% due to lower time deposits and events and account expenses, lower volume and the deregulation of the minimum rate by the end of the quarter. Interest on time deposits, including investment account, explained 47% of interest expenses versus 71.2% of the previous quarter. Net income as of the first quarter of 2024 totaled ARS50.5 billion, falling 6.4% quarter-over-quarter. In the first quarter of 2024, fee income totaled ARS91.1 billion, falling 15.1% quarter-over-quarter. In spite of the general quarterly decline on all lines, the decrease is mainly explained by fees from credit cards, which falls 17.3% and fees linked to liabilities, which fell 14.4%. Regarding the former, apart from being impacted by expenses related to Puntos BBVA loyalty program, it was also affected by a decrease in activity and consumption. Regarding fees linked to liability and increasing fees from account maintenance and bundle did not compensate for the fall in activity. On the side of fee expenses, these totaled ARS40.6 billion, falling 23.9% quarter-over-quarter. Lower expenses are explained by lower activity and the contrast with high seasonal fees expenses in the fourth quarter 2023. Additionally, there was a decrease in fees linked to payroll marketing campaigns. In the first quarter of 2024, loan loss allowances decreased 14.3% explained by the good behavior of the loan portfolio. During the first quarter of 2024, total operating expenses were ARS209.6 billion, decreasing 3.5% quarter-over-quarter, of which 29% were personal benefits costs. Personal benefits decreased 11.2% quarter-over-quarter. The quarterly change is mainly explained by the contrast with the inflation adjustment of vacation stock provisions and variable compensations recorded in the fourth quarter of 2023 plus wage negotiations with the unions that match inflation during the first quarter of 2024. As of the first quarter of 2024, administrative expenses grew 33.1% quarter-over-quarter. This is mainly explained by an increase in the amount of price of foreign currency services contracted with the parent company. The quarterly efficiency ratio as of the first quarter of 2024 was 65.4%, above the 46.4% reported in the fourth quarter of 2023. The quarterly increase explained by an increase in expenses contrasted with a decrease in income, especially due to lower interest income and the impact of inflation on the monetary position. In terms of activity, on Slide 6, private sector loans as of the first quarter of 2024 totaled ARS2.7 trillion, decreasing 12.7%. Loans to the private sector in pesos fell 16.2% in the first quarter of 2024. During the quarter, the decrease was especially driven by a lower generalized seasonality in practically all products. The decrease was partially offset by a 20.9% increase in overdraft, mostly due to their short duration. Loans to the private sector denominated in foreign currency increased 18.4%, explained by a 26% growth in financing and pre-financing of [exports]. Loans to the private sector in foreign currency measured in US dollars increased 69.3% quarter-over-quarter. During the quarter, the retail portfolio fell 16.2% and the commercial portfolio decreased 9.4%. As observed in previous quarters, loan portfolio were impacted by the effect of inflation in the first quarter of 2024, which reached 61.6%. In nominal terms, BBVA Argentina managed to increase the retail commercial and total loan portfolio by 27.1%, 37.4% and 32.1%, respectively, during the quarter. In all cases, surpassing quarterly inflation levels. BBVA Argentina's consolidated market share of private sector loans reached 10.08% as of the first quarter of 2024, improving from 9.33% a year ago and surpassing two digits figure. As of the first quarter of 2024, asset quality ratio keeps a very good performance at [1.23]%, in line with the good behavior of the commercial portfolio. On the retail portfolio, there is a slight increase in NPL portfolio due to credit cards, but with no significant impact on the NPL ratio. On the funding side, as seen on Slide 7, private nonfinancial sector deposits in the first quarter of 2024 totaled ARS4.6 trillion, falling 15.6%. The Bank's consolidated market share of private deposits reached 7.37% as of the first quarter of 2024. Private non-financial sector deposits in pesos totaled ARS3.2 trillion, decreasing 9.3% compared to the fourth quarter of 2023. The quarterly change is mainly affected by a 21.2% decline in saving accounts and an 8% fall in checking account, especially noninterest bearing checking accounts. Private nonfinancial sector deposits in foreign currency expressed in pesos fell 27.3% quarter-over-quarter, mainly explained by seasonal factors in the fourth quarter of 2023. In terms of capitalization, BBVA Argentina continues to show strong solvency indicators as of the first quarter of 2024. Capital ratio reached 35.6%. Growth in the ratio was mainly driven by a fall in risk weighted assets. Exposure to the public sector in the first quarter of 2024, excluding Central Bank instruments, represent 13.9% of total assets. We know that 15.9% in the fourth quarter of 2023 and we know the last ratio reported by the system of 26.5% as of February 2024. The Bank's total liquidity ratio remained healthy at 92% of total deposit as of March 31, 2024. Last but not least, as of the date of this report, the Bank has announced the payment of dividends in three installments in cash or [card]. The total amount due will be ARS264.2 billion inflation adjusted as of December 31, 2023 and [indiscernible] Central Bank low it must be updated to the current currency value of each payment dates. This concludes our prepared remarks. We will now take your questions. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is from Carlos Gomez with HSBC.
Carlos Gomez: I would like to know if you can go through -- slowly as to why the net interest income declined so much in your case compared to your peer banks in Argentina this quarter? I was not able to follow it closely.
Ines Lanusse: Basically, one of the main factors that affects our net income this quarter is the fact that the model we use -- the different valuation model the banks have to value securities in the P&L. We believe the portfolio strategy should be analyzed based not only in one quarter, but in more quarters. Now being that said our valuation criteria for securities compared to peers affects more negative our P&L in the first quarter. And this is particularly because of the extraordinary results we gave in the OCA line in the previous quarter. Remember that last year, our equity grew 25% in real terms. Now why net income is very affected by this fact that in the past because of that extraordinary result my equity grew much more than probably the peers, which not recognize these valuation in the equity and that generates a higher loss by inflation adjustment. And that's why we are seeing higher effect, a negative effect in the P&L. So it's quite different to compare banks with different models. If you would do a proxy, for example, if we would have the model of cost instead of fair value, for example, you should analyze our figures by discounting from the equity around ARS260 million. To that, you should have apply the approximately 52 inflation that we had in the quarter. And if you do your math, the ROE would be around early 20s. So basically, the problem is the comparisons between the two models. In our case, it's probably a little bit more transparent, because we reflect not only the gain from the securities but also the valuation of those securities and the effect of inflation in the P&L every quarter. On the model that is on cost, you only -- you don't reflect that valuation. So your equity doesn't grow that much and you do not record that extra loss affected by inflation. On the trading model -- in the trading model, probably it is comparable, but it's a different way on how you manage portfolio. They are more -- supposedly this trading is short term criteria, it's another way of managing your securities. While the model we use as the bank and it's the same model that BBVA as a holding use is to protect the assets, that's why we have this model that shows results on P&L and valuation on the OCA line. So basically that is a key factor that affected our net income. And as I was mentioning, if you would do the math or a proxy, if we would have the model of -- at cost, our ROE would be around early 20s. Then, yes, we had also -- despite expenses decreased quarter-over-quarter, we have administrative expenses that grew and those are mainly tied to FX, which are mainly costs related to the parent company. So that also affected our results. I don't know if that answers your question.
Carlos Gomez: Well, more or less. On the valuation at cost. So do you have a big gain in the OCI line last year, last quarter, in particular [Multiple Speakers]. And that does not flow through the income statement now as it gets realized that's already in your results?
Ines Lanusse: The fact is that your equity when you start the first quarter of this year is much higher. And the line of inflation adjustments were recognized is the loss for your equity exposure to inflation. As my equity was so big because we recognized the valuation of securities, we have a higher loss because of inflation, because our monetary assets are -- the monetary asset the securities are at the value of the securities. In the amortized -- in the other model, you don't recognize that valuation in the P&L. You only recognize when you go selling or when you go getting the -- selling the bond, correct? So by not recongnizing that higher value of securities, your equity is lower and by consequence, your exposure inflation is less. That's why it's not comparable. So when you compare P&Ls, you don't know you need to compare figures but also different business models.
Carlos Gomez: Now this was this particular quarter. So how does that reflect into the rest of the year when inflation should be lower and rates were also below?
Ines Lanusse: Going forward, we are still believing we can -- despite this quarter, we have a lower ROE. Our strategy of -- regarding our securities, basically, as you know, [lending] no longer exist. Most of our liquidity first went to repos and it's already placed in the GAAP from our security portfolio, we have more or less 24% of our portfolio in CPI bonds and 67% are LECAP. We have a 9% of bond pay also. So moving forward, we are changing the yield of -- we are turning to a fixed rate, which is LECAP. We still believe we can sustain a mid-teens ROE for 2024. Also, we are seeing an increase in demand, we’re starting to see -- according to our research department, loan growth for the systems should grow positive this year, around 22%. We are starting to see an increase -- higher increase on commercial lending, which is part of the strategy of the Bank. And that should reflect in the results of the Bank, always intending to gain market share.
Operator: [Operator Instructions] Showing no further questions. This concludes the question-and-answer section. At this time, I would like to turn the floor back to Mrs. Lanusse for any closing remarks.
Ines Lanusse: Okay. Thank you for your time, and let us know if you have further questions. Have a good day.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time, and have a nice day.